Henrik Andersen: Good morning and welcome to this Investor Call for our Final Full Year Numbers for 2021. And of course, all what we have today should also be seen in connection with our announcement from the 26th of January. When we said see you tomorrow morning last night with Marika, we actually expected to sit here next to each other in Marika's final presentation. Unfortunately, she has this morning turned her car around and drove back to her apartment with sickness. We don't know if its COVID or not. We will figure that one out. But that also means that we will say, goodbye proper to Marika and hopefully she will see many of you over the coming days and weeks where we will complete the roadshow. We will also be joined Hans Martin, who is starting his new job now. But next to me today for those reasons we have Mathias, which all of you know as well. So, Mathias and I will do the investor presentation today. And I'm sure we'll find a good split with 30 minutes preparation, Mathias, I'm sure we'll get through this presentation. So that, let's go into the highlight for 2021. We ended 2021 with revenue of €15.6 billion, its year-on-year revenue growth despite the increase in supply chain challenges. And we had a very high level of deliveries at 16.6 gigawatt, impressive under the circumstances. We had an EBIT margin of 3%, the EBIT was hampered by supply chain disruptions, of course, causing cost inflation, but also the delays and mitigations we've had to do and ending with a higher warranty provision end of the year. We had a total order intake a 13.9 gigawatt. We saw an increase pricing throughout the year. The wind turbine order backlog remains strong, it's been more than €18 billion and we had 3 gigawatt of preferred supply agreements signed for the new offshore platform. We were also awarded the prize of the most sustainable company in the world. We ranked number one by Corporate Knights in the 18th Annual Global ranking. And of course, very pleased with that. We'll talk more about it in the presentation. Even more importantly, the strategic progress to become the global leading sustainability energy solutions continued. So, we made a full integration of offshore within our first 12 months. We've expanded development and development of the development business tremendously through 2021, and we've make two investments through the Vestas ventures in 2021. So, let's go into a little bit more details, starting a first with the global business environment. And I will say, it's the same, it's almost the same and some of the things is repeating from what we are now being going through foremost two years. We set by second half of 2021, that we foresee those challenges will remain and continue throughout 2022. It hasn't changed our priorities. The priorities still is that our almost 30,000 colleagues around the world can continue work in a safe and in the healthy environment and come and return safe to the workplace. Secondly, the business continuity plan is absolutely key for us, and it has been vitally since we started this journey in March 2020. Business continuity, so customers, governments, countries can rely on our energy solutions. Wind power is increasingly critical as a short-term electricity demand. It increases around the world, but it also therefore supports our critical infrastructure exempt, which of course, in many ways is very positive and supportive, but they also days where its pretty hard for the colleagues to deliver under that exemption around the world. We know, we have had supply chain disruptions throughout the year and they are continuing. It's an instability and it continues to impact timelines and increased cost. We will talk more about it now. Its not only the hits price, but it's also the instability and not being able to rely on physical delivery on the time pre-agreed and assumed. When the cost inflation, it continues. It still is at almost all time high in most of the components and the raw materials and transport hasn't eased any if what we saw. It's probably still at a troublesome path and from what we still end of last year and also starting into this year. Mobility has been a constraint both for our construction workers, for our partners, our suppliers and not least our service technicians and it has remained challenged. It's also therefore opportunity here to absolutely take the opportunity to thank all our stakeholders. That means, partners, customers suppliers, not least our colleagues that have worked incredibly hard to deliver the 16.6 gigawatt and kept our energy solutions running. This has taken a lot of mitigations and it has made a lot of personal sacrifices throughout the year. And for that I thank you wholeheartedly for contributing to that. When we then look at the power solution, it is increased pricing it's a key factor for continuing and increasing the value creation for Vestas and also for the industry. We saw that there was a decrease in the order intake. It's impacted by accelerating, of course, the cost inflation and also timing of individual markets. It is a slowdown, which is compared with what can be seen and there is still too much imbalance between off-take customers financing and off-tick and of course the price of the turbine. We see power prices continues at record high level. We see PPA levels are adjusting to it and have start coming up, that also means the imbalance is about to correct and adjust, but at a level which we don't know where that will be. But I'm sure we'll know more throughout 2022. When we look at the ASP, it increased more than 20% in a year-on-year comparison. It is there to mitigate the cost inflation. And it is there to display the Vestas' discipline that is needed across both onshore and offshore. We don't see that in the industry and unfortunately we still encourage the industry to pick up that is discipline with immediate effect. When we look at the offshore it's fully integrated. It also therefore invites customers to the increased dialogues we can have in all solutions both in onshore, offshore and in service. We're really encouraged by that. We also know that we put the systems down in the offshore business and therefore it is now truly a part of the full Vestas' family by end of the year. We are positive encouraged by the three gigawatt and preferred supply agreements and we continue the dialogue around the world in how to localize and how to help our partners and consortiums and governments to increase offshore as well. We ended the year with a wind turbine order backlog at €18.1 billion and are pleased with that. Also pleased with the year, how it developed in ASP. When we then look at the service business. Another stellar year, another year where we expanded the foundation for both future growth and also supporting our customers across the globe for making the solutions work under incredible difficult conditions. So now, offshore is fully integrated with when we see the service business, that means, we can leverage the global supply chain and scale. It is also with a continued focus on our full scope multibrand contracts where we have now passed one gigawatt of multibrand contracts in Latin America, which by the way became an individual region from 1st of January. When we then look at the duration of the service contracts, we now cover the full duration up to 35 years and we are encouraged to see that there is a increasing demand for also the longer service parts to secure the full value of the investments in the renewable energy solution. When we look at it we have an order backlog in service of €29 billion. It's up €5 billion more than a similar quarter last year. We have 129 gigawatts on the service. It's not long since we celebrated. We passed 100 gigawatt and we have an average years contract duration of 10 years. Below you will also see the splits in the regions and there we of course encouraged by to see that all regions are growing and we have a very leading position across the regions we operate in. With that, I will give a short status, of course, on sustainability and where we are with that. Yes, we are humbled to some extent to receive the award of the most sustainable company in the world, but we also know that is a evidence and it's also a reward to all the colleagues that have worked so hard with this to achieve it. When we look at the highlights, yes, we were named that. We also know we have an, A minor score by CDP, and again it highlights what we are doing from the climate leadership perspective, but also how we are displacing the CO2 across our solutions. So we had an 8% increase in expected CO2 avoidance and displacement. As you can see here, it's now with the ones we installed the 16.6 gigawatt, it's 532 million tons of CO2. It will displace over its life time of the turbine. When we look at the increase in carbon emissions from our own activities, it relates to the integration of the offshore activities. It has started a lot more engagement also with the strategic suppliers to reduce the CO2 emissions and waste across the whole supply chain. This is how we would both address the scope one, two and three and I'm sure we'll talk more about that in details over the coming days and weeks. When we also saw we initiated the CETEC project, it's one of several projects where we are investing in to the important step in creating a full circularity of the turbine. We are delighted to see the progress. We also therefore believe at some point in time we can start having a look at our target that is a full circularity in 2040, but more to come and more of those innovations please. You've seen the charts discussed here to the right. The last one I will just highlight here that when we look at the safety with an increased activity and with a very, very challenged mobility, we are delighted to see that the safety actually had an improvement in the year from 3.1 to -- from 3.3 to 3.1. And I will just say here to everyone, thanks for taking care of each other in those difficult circumstances. With that, I was supposed to just look to my right and saying, please Marika. But Mathias please. Mathias, take us through the financials and then we will take the details afterwards.
Mathias Dalsten: Thank you, Henrik, and good morning everyone. So if we have a look at the income statement. As we have released earlier, revenue came in at €15.6 billion, which is a 5.2% increase year-over-year. And that is mainly driven by increased service activity and as well of course the inclusion of the offshore business. If we look at the gross margin, it decreased slightly by 0.4 percentage points to 10%. And that was positively impacted by the overall higher revenue and the service activities, but negatively impacted by the power solution segment. EBIT margin before special items decreased 2.1 percentage points to 3%. And that is mainly driven by the higher SG&A cost as a result of the offshore integration. Special items for 2021 amounted to €139 million, and that is related to the alignment of the offshore manufacturing footprint that we have announced earlier. If we have a look at the Q4 in isolation, revenue increased 6.5 percentage point year-over-year. We saw a gross margin decreasing by 3.9 percentage points to a to close to 9%, and that is driven by the higher warranty provisions we saw in the quarter impacted as well by the supply chain disruption that we are seeing. EBIT margin before special items, decreased consequently by 6.1 percentage points, driven by the lower gross profit and as well the higher SG&A also here in the quarter. If we have a look at the power solution segments for the full year, then we then we continue to see profitability being challenged. We did see revenue increase 2.7 percentage point year-over-year. And that is of course, again, driven by offshore actually offsetting a decrease in the onshore activity level. The EBIT margin decreased to 1.5% and that is really driven by the supply chain disruptions that has also caused the cost inflation and higher warranty provisions. For the service business, we are looking at a strong revenue growth year-over-year of 21%, that is really driven by the onshore activity. Of course, also the inclusion of the offshore business, but the onshore activity where we have seen towards the end of the year and increase in the transactional sales that we are doing. We saw EBIT for the full year of €599 million corresponding to a margin of 24.1%. And again, also impacted by the integration of offshore, but also the higher share of the transactional sales and services that we have seen. When we look at the SG&A cost, they increased year-over-year primarily driven by offshore integration, which has caused an increase in depreciation, but has also resulted in increased IT investments and especially also seizing of the existing offshore IT systems. Relative to the activity levels, we are still tracking at a fairly low level, 7.1% of revenue. If we look at the networking capital, was generally stable over the year, negatively impacted by a buildup in inventories, but offset by payables and to some extent also the down and milestone payments. Looking at the cash flow. We continue to see a positive cash flow and actually an increase compared to last year. So cash flow in 2021 ended at €183 million euros, which is an improvement and it is it is driven by operating activities and as well the stable networking capital. Further to that, we are also about to initiate the issue of a new sustainability linked green bond facility, which will be introduced in an upcoming bond roadshow. If we look at the investments, increased year-over-year as we had also expected. It is mainly driven by continued investments in our Vestas platform, but of course also now that we take full ownership of the introduction of the V236 offshore turbine. If we have a look at the warranty provisions and the lost production factor, obviously, we continue to have a very high focus here. We have seen the lost production factor continuing to be at a high level and that is a consequence of the extraordinary level of repair and upgrades that we are doing for customers as we speak. Consequently, also we saw warranty provisions being higher in 2021 of 4.4% of revenue and that level is driven by the cost inflation that we have seen. The logistical challenges for actually doing the repair and the upgrades on the existing cases that we have addressed earlier. Positive to see -- on this is also that the consumption of the provision stays at a relatively high level, which obviously indicates that we are working ourselves through the level of repair and upgrades that we need to do. Lastly, on the on the capital structure. We continue to see a net debt-to-EBITDA being well below our threshold. We see that coming in by the end of 21 at the minus 0.9%. We still have a rating from Moody's of Baa1 highlighting the financial strength that we continue to see. Over the course of 2021, we initiated a €2 billion sustainability linked revolving credit facility and as well start to initiate the new sustainability-linked bond that I mentioned before. We also propose a dividend for the year, 30% of net profit as we as we normally do, which equals $0.05 per share. With that, I'll hand it back to you, Henrik.
Henrik Andersen : Thank you so much, Mathias. It must be nice to talk to your own slides for once right. So I know who knows both the slides and the details of that. But Mathias, thank you so much with not a lot of preparation and time for doing that really well. As a part of the full year, we will as normally also here both do a strategy, a short review and also look at the market outlook of where we are today. Some of it you will see is definitely linked and also to some extent repeat of what we discussed and what is available from our capital markets day on the 15th of December. So, if we look at the Vestas and the journey to both become and being the global leader in sustainable energy solutions, no doubt that we are creating and we have created a foundation of our free business units that is onshore service and offshore. This is our core foundation giving us the opportunity to also do things in new growth areas. We saw and we have seen and you have seen the acceleration of development, which of course, is part of what we have been looking into and done for a number of years. But as part of 2021, we made it as a separate business unit globally. This let's too that we for many customers and many governments and countries can actually accelerate the transition towards renewable energy solutions across the world. And I'm delighted to see that team together with our customers continue to accelerate this. We also in the other box says future innovation. Here you will see some of our investments in Vestas' ventures, you will also see us start doing projects and customer innovation where we will also lean towards what is known as the P2X or hydrogen [ph] where now that starts to become something people are really looking into not only for the coming years, but even further with an enormous upside towards the volume when we look towards end of this decade and into the next decade. When we then look at what does this then mean for sort of the chains and the step chains in some of these scenarios. We are absolutely positioned in the right place and at the right time, but of course, with some challenges in the short term and due to those short-term imbalances. But if we just look at wind and the electricity production from wind was by this approximately 1% of the total energy supply when we look in 2020. We often talks about it internally as 99% to go. But I think it is fair saying, we are making a difference. We are making a difference to this every quarter and also by every year. When we also then compare to what are the aspirations to some extent from countries, governments and all of us around the world in the renewable transition then it's quite interesting to take 2020 as a starting point. And just add, what are actually the current stated policies, goals? What are the announced pledges when it comes to carbon emission reduction? And what are the sustainable development if you want to compare to the Paris Accord [ph]. And then, not least, if we want to aspire to be net zero when we approach 2050 and 2060. We have shown some of those scenarios in here and also trying to translate that into an annual installation in gigawatt. And as you can see, even with the stated policies right now, there is a steep increase in the annual installations that of course comes from both onshore and offshore. And you can see that offshore being almost announced not only by the week, but by months in countries where they are launching new frameworks and new permitting when we look to the second half of this decade to get the infrastructure and the scalability started to actually work across those targets for reducing CO2 emissions, but also create much more renewable energy in the terawatts supply. If we look at our parts and our portfolio of businesses, there is no doubt and we have said that all along, we are uniquely positioned in onshore, in service and we are building and extending that unique position into the offshore market as well. So onshore, it's a large market. It's very well developed. It's mature. And when we look at that towards 2025, we still see a 2% to 4% compounded average growth rates. There are some near-term readjustments of the market, which some of them leads to that has to be created a balance between what is the current off-take PPAs and also the price of it. But part of that is also that some of the projects are still in the pipeline and have been in the pipeline for some quarters where that needs to find its natural home. When we look at the increased ambitions from governments, it's definitely going to drive further upsides and we have in the last quarter most notable scene several European main markets including Germany announcing much bigger targets and also now addressing the key challenge in this sense, which is the permitting. When we look at it, we see an increasing demand for repowering, that's obvious, and it's something that helps many countries and also many owners and customers of our solutions that actually to get a better return when we look to the coming decades. We also see power-to-X and we now seen the balancing of hybrid projects. Some of it will both be on grid and some of it will be off grid. When we come to offshore, come on, it's a huge expansion right now in Europe. It's new markets such as the U.S., Korea and broader Asia Pacific and now also Latin America. Not surprisingly, we will in those rely heavily on the handshake that happens between the government and customers, because there is no such thing as localization without an underlying volume and growth in it, then it won't work. If we look at the growth, it is of course here seen in any forecast now that the growth is to accelerate post 2024 and we are making those progressions as we speak. We still encourage everyone to remain disciplined, because this is also a question of that demand and the scalability will be critical when we look to the second half of this decade. We also are key together with our customers and partners, close partners to look into how we increase the floating projects and also Power-to-X. And here it is really a matter of working closely with a low selected number of partners in these areas. When it comes to service, we are a global leading provider in this with having 129 gigawatt under service. Of course, we see that's a solid growth for the high base. We expect the compounded annual growth rate of 7% to 10%. And of course, here we can expand it both from a solution scope, but also it's driven by the digital talks from the turbine and the wind parks to also further strengthen the global scale. It's a fabulous business. We like it a lot and we continue investing in it. And all our colleagues in that part of Vestas' deserves a huge credit of the progress they have made in 2021. Then we also come to our long term financial targets. Rest assured that even though that the starting point is with the guidance of zero to four, we are absolutely committed to the same journey toward 2025 towards the 10%. The handles we have seen throughout also both 2020 and 2021 are actually working, but we need to work through some of those short-term instabilities that comes from especially the logistic supply chain and for some of them also our own parts, which relate especially to technology pricing. And then, we will have the cost efficiency. We'll have the service in here. And we will also see both the offshore and onshore volume changing throughout the period here towards 2025. I will also remember and also see here that quality is in here, because that is we are adamant of a part where there will also be an improvement when we look to the years to come. So, overall, yes, we would like to outgrow the market in revenue. Yes, we will aim for an EBIT margin of more than 10% by 2025. We are aiming for free cash flow positive every year and also return on capital employed that is more than 20% over the cycle. And we all know that if those they are, they are just a natural result of the others that comes to it, that comes to that. So with that, I will just shortly here say, we are encouraged by seeing the progress we are making in becoming carbon neutral by 2030 without using the carbon offsets. It's now holds and is hold by responsibility from not only the intern Vestas' functions, but it's also held by our close cooperation with our customers and partners and suppliers in general. We aim for a circularity, which means, we will have a wind turbine that is zero waste and also fully circular by 2040. And it cannot be done without seeing both the engagement, but also the positive ownership and responsibility across Vestas' worldwide. So therefore, when we look forward we call it the license to operate, but we are absolutely adamant of that by 2030, this will be a license to operate not only for Vestas', but also for many of our customers and suppliers in tandem when we look at that. With that, I will finish off with giving a little bit more details on the outlook compared to what we said on the 26th of January. So our revenue outlook for 2022 is €15 billion to €16.5 billion. The service is expected to grow approximately 5%. And the EBIT margin is zero to four, of which service margin is expected to be approximately 25%. And our total investments in the year is approximately a €1 billion. It's also worth highlighting here that in the current business environment some of those are basic assumptions that await in the guidance will come with a more uncertain than in normal conditions. I think we have said that now for a number of quarters and it still remains the same that we are in a business that is currently troubled and challenged by the supply chain. We also hear the guidance exclude the general change that comes and is announced from IFRS board, which means, that we will have a change in accounting policy when it comes to cloud computing arrangement, but I think that's generally for all companies across the world. And then, as I said lastly, that the 2022 outlook is based on the current foreign exchange rates that we see right now. With that, thank you so much. And I look forward also together with the rest of the team and Hans Martin to see many of you over the coming days and weeks. So with that, hand over to the operator and start the Q&A.
Operator: [Operator Instructions] Our first question comes from Casper Blom from Danske Bank. Please go ahead. Your line is open.
Casper Blom: Thank you very much. Hi, Henrik and Mathias. Two questions from me. The first goes to the onshore order intake ASP of €0.86 million per megawatt here in the quarter. Are you happy with this? Is this enough? And is this supportive for reaching your longer term margin targets? That's the first question. The second question goes to the service business. And we are seeing a little bit of a standstill in terms of growing the onshore business right now in terms of order intake. And you've also talked about the market being a little bit flattish here the next couple of years. Should that also mean that if you look a couple of years ahead, we should see a little bit of a temporary standstill with regards to service revenue growth. Maybe you can talk a bit about the spillover effects from the order intake into the service business? Thank you.
Henrik Andersen: Thanks Casper. And we come back to the ASP, I think €0.86 means as we also said here in sort of reasonable comparable notes. It's somewhere around 20% higher than it was a year ago. We're happy with the order intake. We're happy with the mix and geographies of it. But you can also compare €0.86 to the average for the year. And also see that it also illustrates that we are learning throughout the year. And some of the costing cannot simply be turned into the order intake with the pace of what we have seen in the chains of pricing. So therefore, the €0.86 reflects what we have now been saying consistently for several quarters. Prices are coming up. And if you are not aware of your costs, then you will actually in having incredibly challenged project backlog. So, we're happy with that. Is that is solely enough to meet a margin target? No, it's not, Casper. Because pricing is one part of what I just shared and showed with you. So that comes back to also we work diligently through all our handles. They're working. We actually see an increased discipline and execution on the projects, which we have talked so intensely about. But when it comes down to also not only the price risk, but it is also the physically delivery risk that we have seen in components and raw materials. I think that some of the things we are working through. And actually, we've become pretty good in mitigating. But it is not without the same kind of challenges when we enter 2022, which we've also been saying for a couple of quarters. When it comes to the service business and growth, which we say approximately 5%, it's always nice here to sit and finish a year where it was extraordinarily high with 2021. So I think when we say a compounded average growth rate in this there will be a topic of when do you finish the year. When do you start the next quarters. And what does that mean for the average compounded growth rate? We don't see that necessarily is going to be hindered. But of course we see it right now that part of the order intake has an effect on the service business. But besides that we are very pleased with also the growth which happens in markets and regions where we are present and can also service some of the existing solutions in either Vestas or the multibrand.
Casper Blom: Okay. Thank you, Henrik.
Operator: Thank you. Our next question comes from Ajay Patel from Goldman Sachs. Please go ahead.
Ajay Patel: Good morning. And firstly, thank you for the presentation. I have two questions. Firstly, I'd like to unpack the outlook a little bit. So, can you give us broad indications of how much EBIT margin has been lost in 2022 from the delayed pass-through of raw material costs? And how much has been impacted or what's embedded for supply disruptions? Just trying to get a better sense of how -- a bit of a quantification for each so that we can think about the future a little bit better. And then, within the outlook guidance, is there any amount assumed for early stage development and the profits that you may attain from that? Thank you.
Henrik Andersen: If I take your outlook first, I think if we were able to put up sort of a future look into what kind of mitigations you had to assume. Ajay, I will almost say we will be over natural. Because what we have seen quarter-on-quarter, we have executed 16 gigawatts. So, we assume the current challenges are continuing. And we said that and we've been prepared for that through a second half of last year. And some of the mitigations you simply cannot just euro-for-euro or a dollar-for-dollar could take this scope off. But as we're saying, it's also a reflection of that we are saying to you here, that our EBIT guidance is slightly wider than it normally would be with the entry to the year, which is now between zero to four, which is also an indication of that we have the usual process, we work diligently through what we have in our pipeline and backlog, and therefore we work those. When it comes down to breaking exactly on a supply chain or part of a transport what that gives us of difficulties and wouldn't like to disclose that considering the aspect of both the industry and also what we are doing in terms of project-to-project. But I think we have allowed ourselves to have the usual scenario building and then also assumed that the challenges we have seen and experienced now for, I will say six to seven quarters will be continuing in 2022. When it comes to early stage development, co-development, you would appreciate when you saw the presentation we made on the capital markets, Ajay, that we don't guide significant. We don't have significantly projects as such to guide for. But of course, as you will also appreciate there will in the current environment come a natural partnership where there are projects that can go from very early stages to early stages to suddenly be a joint input to a partner and a customer that wants to take it and develop it and accelerate it further which can give us. So therefore we don't have a particularly number associated with the development in our guidance. It's a business unit now and therefore we run it in parallel. But we won't give a specific P&L for it.
Ajay Patel: May I just follow-up on the first part, please. And maybe you can't answer it in the way that I ask. But I'm just wondering then maybe the other way to ask the same question would be, you had a 20% increase in ASP Q4, on Q4 2021 versus 2020. Is that now at a level to cover the raw material inflation that we've seen over the last 18 months? Or do we need further increases in ASP to make sure the costs are covered?
Henrik Andersen: I think you can read a lot into, Ajay, If I can say that Q4 ended at €0.86 versus an average [Indiscernible] good indication of that it has actually gone against us most of the year. And the way it works in our and it in our industry is that we are forward pricing. And therefore its -- whenever it goes that rapidly up. You cannot actually forward price things you don't know. And that's a fair reflection of that we are fairly well-positioned and the volatility throughout Q4 in Q1 has at least been lower than it was in the other quarters of the year. And what I mean by volatility, I mean, transport pricing and raw materials and components. Maybe we could take the next if that's okay. Ajay, we could take the next question in line.
Ajay Patel: Thank you very much.
Operator: Thank you. The next question comes from Dan Togo from Carnegie. Please go ahead. Your line is open.
Dan Togo: Yes. Hello. Thank you. A couple questions as well for me. It may be on offshore. You have previously guided revenue in offshore in the range of €2 billion to €2.5 billion here in both 2021 and 2022 in low single digit margins. Are there any reasons to change that or anything that can impact that? Let's put it that way. So that would be the first question. The second question would be on the development side, the CapEx of €250 million per annum until 2024. There's a lot of cost inflation here, shortage of staff et cetera. Any impact on the CapEx guidance that you have, it could be -- it would be -- comments on that would be appreciated? And also maybe are there any particular milestones we should look out for in development planned? We are seeing some of your competitors having some problems with the development of their platforms. Are there any milestones where you can say, well, where you can confirm us that you are well on track for this development of this 15 [ph] megawatt platform? Thanks.
Mathias Dalsten: Thanks, Dan. If I start with your first question on the offshore part, yes, we did guide for between €2 billion and €2.5 billion revenue offshore. Bear in mind that was sort of the look on the entire offshore business. So that included service. And with ending the year at €2.3 billion only on the turbine side, I think it's fair to say that that we have been able to accelerate some of the installations that we've foreseen over those two years of 2021 and 2022. So for that reason I think it would probably be prudent to lower the expectations for what offshore turbines can do in 2022 just a little bit.
Henrik Andersen: And when it comes to your CapEx question, in generally, we continue doing so. You have seen, we are making some of the announced changes to it then in the other part when you have a broad outline of how you're going to spend your CapEx and also do the localization. There is a unknown and a question mark. Because in many parts of the world right now you're also into a government discussion of who is actually investing and who is co-investing with you when you localize some of these. So, in broad numbers, don't need to change any of the CapEx number in that from when we are readily [ph] set out the journey towards 2025 for the offshore. And when it comes to our platforms, we are well under the way in delivering in the platforms. We're not holding any question marks to neither the platforms or what we are looking into and we are diligently working with our normal lead times there with through our research and development around the world. And as you would have seen in the warranty provision, we have had the two outstanding cases which we are working diligently through and that's basically what is to still do and get finished throughout 2022.
Dan Togo: Okay. Thank you, Henrik.
Operator: Thank you. The next question comes from Supriya Subramanian from UBS. Please go ahead. Your line is open.
Supriya Subramanian: Yes. Good morning and thank you for taking my questions. My first question is on pricing again. Just wanted to get your thoughts on all the ASP price hikes that you've seen. When do you think that goes towards those meaningfully impacting the P&L and actually supporting margins? Would that be only towards the second half of 2022? And also, how sticky do you think these prices are? So, let's say, towards the end of 2022 or in 2023, if raw material prices and costs start to go down, do you think you would need to proportionately sort of pass that on to customers? Or do you think you can still save some of the price hikes that you have kept taken in 2021? Thank you.
Henrik Andersen: I think on the ASP, it's clear. We are talking often in hundreds of millions or even in billions of euros when you talk about projects of this nature, Supriya. So, if you look at that, of course, we will have in close dialogue with any customer we are planning and doing that for. So, when we look at an ASP, I think right now where there are most tensions are probably where customers have secured their offtake early on and potentially haven't secured the levelized cost of energy and therefore the turbine price on it. Because there you are left with a gap in the current environment. But right now, PPAs are coming up towards energy prices you have seen. And that also gives that still from an investment decision point of view, it actually works pretty well if you started with any new project today. So, it also means, it is a competitive world. We have customers that know their markets. And it's clear that if some of the prices starts coming down, I'm pretty sure we will have a discussion on ASP, because people won't close their eyes for that. I think for us as a Vestas, the most important thing for us when it starts easing and I'm saying when it starts easing and we don't see that in 2022 just to make it clear again, is then all of the unknowns and the mitigations for some of this drops out. And of course, there'll be also some of this where if we haven't been able to pass the price increases in the backlog then of course if it eases up then some of those would also go to the benefit of Vestas. That's beyond any doubt.
Mathias Dalsten: And then maybe on the first part of your question, Supriya, in terms of the elevated ASP, and in the fourth quarter when that turns into the P&L, that will not be towards the second half of 2022 as you say. That will be a little bit longer term. So 2022 has a good coverage and the ASP increase in Q4 will only have a smaller -- small benefit in 2022 if any.
Supriya Subramanian: And my second question is more around demand development. And of course, order intake has been a bit sluggish this year so far. Is there any difference between regions that you're seeing in terms of momentum not just in 1Q, but sort of going through 2022, as well what are your thoughts on how demand is likely to develop across the various key areas?
Henrik Andersen: But I think we have to break it into two parts. I think we have be -- I mean beyond any doubt, quarter-by-quarter in 2021 said, in that environment we have been dealing with in 2021. It is critical to know your costing and it's critical also be able to back off from where projects suddenly become -- don't touch it so to say from a profitability point of view. And if you haven't done that, it ends badly. So therefore we are saying, if we have in certain markets a lower markets here, because somebody is offering a -- we call it a non-fully cost project and then we live with a lower order intake. If we have seen it, they are a both in Americas and they are in Europe and to some extent in certain markets in Asia, a backlog of projects that haven't been built, and therefore some of that will come. We generally see it takes longer, because you have -- as a customer and a partner you have to go back and revisit both your financing and in many places also how you do your offtake. It will come. I won't give you a quarter to it. I'm at the same -- we are at the same time encouraged by that all countries are now putting a real -- most countries are putting a real effort in accelerating the permitting and therefore bringing also new projects into the pipeline. So I think let's see how soon we can clear some of the outstanding, a little bit caught in the imbalances project, but then the new projects are also coming and being discussed as we speak. So -- but there can be no doubt that for us we will rather have either lower market share or a lower order intake than sitting and working with a loss making and therefore a non-value creating pipeline.
Supriya Subramanian: Great. Thank you very much.
Operator: Thank you. The next question comes from Sean McLoughlin from HSBC. Please go ahead. Your line is open.
Sean McLoughlin: Good morning and thank you for taking my questions. Firstly, on warranties. How quickly do you expect these to normalize in 2022? Or are we staying near the 5% of sales level rather than 3%? My second question is on CapEx. Can we break down this €1 billion figure a little bit. How much is offshore? How much is onshore? What else in there? Is €1 billion in fact the norm going forward? And how will that impact cash generation in 2022? Thank you.
Henrik Andersen: First of all, the warranty. As you would expect when you look at the warranty and you can follow that from a provisions point of view. You make that and look into the future and then you should expect a consumption of it. And you can see the breakdown and you can follow those, which we do absolutely on a quarterly basis. So in this case, we have said that we were doing the provisions early on. We're adjusting the provisions also for what the circumstances we're in as you can see in Q4. But you can also see our consumption is running at a relatively high level as Mathias said. And that will continue throughout most part of 2022 leveling off when we are past those repairs and upgrades. So I think that's an important. The other one is breakdown of CapEx. Sean, I know the world is small. We don't give a breakdown of that. That's too good from a global company like Vestas, that is coming into offshore as well. But you can follow what we are doing of adjustment in our localizations and to some extent also consolidation of our manufacturing footprint. And that's where you should be seeing it. And when it comes to CapEx into the turbines and the technology you will generally be able to see that. But as an incoming leader to the offshore, we will not provide that breakdown.
Sean McLoughlin: Thank you. I suppose that I can, could I ask again, is this the kind of level that we should expect on a regular basis? Or is there something, let's say, that is you're pushing hard on to the 15 megawatt platform this year. Therefore it's higher than you expect over the following?
Henrik Andersen: Yes. We have all a long said, when we set out the journey and this is what we are sticking to the journey. We said towards 2025 was that in that period of time it will be around that level. You're also seeing we're done a little lower in 2021 compared to where we initially did. So plus minus the same over the coming few years where we are now at some point in time leveling off the CapEx into the technology and ramping up the CapEx spent for localization. So that's a natural one. And the only thing I will encourage you to do is follow a little bit when we announce localizations and footprint establishing, Sean, because that's the best way. But in the short to medium term that's around the level and then it will start leveling off when you've done your right supply chain for the offshore as well.
Sean McLoughlin: That's very helpful. Thank you.
Operator: Thank you. The next question comes from Deepa Venkateswaran from Bernstein. Please go ahead. Your line is open.
Deepa Venkateswaran: Thank you. So my two questions. One is starting with logistics. I believe Maersk today, when they were giving guidance, said that they start seeing a normalization in ocean freight in the second half of the year. So just wondering, obviously, maybe they're being conservative. But Henrik, just wanted to see how this ties in with your assumption that actually you continue seeing disruptions through the year? And I think you also mentioned that at least the rates have stabilized. They are no longer increasing. So is that is that a forward indication that perhaps second half could be normal? And I had a follow-up question on the services growth. So before consolidating offshore wind in the services, you were having high single-digit growth in that business. And your long-term outlook as well from the market projections are similar. So just wanted to put this 5% that you've guided for this year in context of where you expect in the medium to long term. Should we still think that it would be around high single digit or is there anything unusual in 2022 that pushes this down? Maybe just some further clarity on that would be helpful? Thank you.
Henrik Andersen: Deepa, first of all, thank you so much. I think on the transport side and what Maersk and potentially DSV have been saying yesterday. I think they are two close partners to Vestas. We worked closely with them. And I don't know if you can get any more positive market view than we can get. What we generally see in transport and I think also Soren Skou was quoted for that yesterday that it will take most of 2022 to actually work through this instability. And I think right now just the backlog of things and ships in wait and hold outside harbors will take months to clear. So even in the sense of the day where you start hearing about that it's clearing, it will take quite a long time to clear the backlog. So for us, please, I know everyone are focusing on this is just a rate issue. But rate and price is one thing. The other thing that happens is both from an inbound and outbound point of view is actually the instability and the deviations that enforces you to find mitigations to delay the incoming components and raw materials or also to sites when outbound can't access the places where we are establishing it. So, yes, we are absolutely positive over that it hasn't changed as much in the last quarter, but that also means, it still remains at a fairly high level. And it's not long ago, a couple of weekends where we had delay enclosure in certain harbors, which we see in especially in Asia Pacific. When we talk about the service growth, we just come out of the fourth quarter where a lot of things happen in and around. And I'm -- we're not necessarily surprised by it. Because if you have that high day-to-day electricity rates then of course, everyone will do whatever they can and preventative maintenance of some of those transactional sales and one-off is just people accelerating to get the maximum out of turbines. So that led to a service growth ending the year of 21%. We are saying as we just stated in here, 7% to 10% expect the same. We like the business. And in generally, we are just coming into the year with that strong finish, a little cautious of the 5%. So that's what we are starting the year with. And don't forget again. It's a €2.5 billion business. So 1%, it's €25 million in top line. So there is that uncertainty in the current environment.
Deepa Venkateswaran: Okay. Thank you so much.
Operator: Thank you. The next question comes from Akash Gupta from JPMorgan. Please go ahead. Your line is open.
Akash Gupta: Yes. Hi. Good morning, Henrik, and thank you for your time. My first question is on demand as well. And this is more related to demand in emerging markets. I mean, I -- you said earlier that PPAs are going up and we see that in Europe and also in parts of the U.S. as well. But maybe just wondering what you see in emerging market in terms of where we have a little bit more sensitivity to price. And also in some markets where we have higher risk to solar. So, if you can comment on that? And secondly -- second question is on your wind farm development pipeline. And if you can help us quantify the gains you had in 2021. I think in the first nine months you said, you farmed down 1.3 gigawatt of projects. And just wanted to get whether the gain was we are talking about double digit million or was it more in triple digit million euro range? Thank you.
Henrik Andersen: Okay. As I have the Mathias here next to me, I will let him take also a bit on the wind farm and developments. So on the energy side and especially the demand side, I think it is it is very clear that if you look across it I don't think, Akash, we are no longer in the scenario where we had certain markets or certain parts of the world talking about either energy or electricity being for free. I think those sort of scenarios, which was actually almost dominant in certain markets in beginning of 2020, that's long gone. So, when you look into Latin America. If you look into Asia Pacific in most of those markets you actually have something that moves pretty rapidly. But you also have governments that see the upside. And therefore upside in, it might be an ASP has gone up with double digit percentages for sure, but it is also another way of accelerating, therefore to mitigate further spikes in the electricity pricing. So I'm really here encouraged by some of the discussions we are having. We also see unfortunately some countries that suddenly delay some of their targets, which comes in either onshore, offshore and we deal directly both with customers and governments in those sorts of scenarios. So we are quite adamant that this has to happen. And when we look at the demand cycle, we had more countries that are announcing increasing targets and now also becoming more specific in how to achieve them from a permitting than we have seen ever before. So let's overcome the coming quarters of these challenges and then we will embark into that. Like in India, a lot of things hasn't been built of what has been auctioned. And at some point in time comparing levelized cost of entity will trigger new decisions in some of those markets.
Mathias Dalsten: And then on the on the development side, Akash, as we again I said like I said, we mentioned it quite a few times on the Capital Markets Day. We are seeing good progress in that business. It is now a standalone business here in Vestas and we continue to see a good development there. As we've been saying the entire time, it will have a relatively limited impact. And in 2021, we did see a positive impact of around €30 million, which of course we are we're very happy with.
Akash Gupta: Thank you.
Operator: Thank you. The next question comes from Ben Heelan from Bank of America. Please go ahead. Your line is open.
Ben Heelan: Yes. Morning guys. I hope you both well. First question for me was on orders. And what are your expectations even if it's high level for the year in terms of onshore and offshore. I know you've talked a little bit about the volatility impacting the order environment. Should we be assuming a similar level of orders this year in the onshore business? And then, second question is obviously a very, very challenging 2021. I think one of the competitors talked about doing things with contracts like trying to add logistics as cost plus. Is that something that you guys can consider doing? And generally, when you look back at 2021 what can you change to prevent that happening again? Thank you.
Henrik Andersen: If we take the orders, Ben, and I think we're quite transparent in our discussions throughout the year, and you can see it in the ASP. What you do when you take your intake and then you have the variables and you deal with it. Where we ended shy of 14 gigawatt is not a target we aspire to take. But we cannot let ourselves deviate from the point of. We would rather having faced with the choice of having a lower market share or less orders, we would rather do that in a period of time until we can see that we can get the needed both price and value for our solutions. So when we come into 2022, we aim for something that is more than the current run rate of orders. But again there, it all then comes down to how can we build that in the markets we are. And we are positively over that and you will also seen the value of our backlog is reflecting those market conditions. So, we are entering 2022, but I won't give you an expectation of what quarters we see that in. Because right now, that's simply down to a project-by-project, which we have in all continents and in all markets and generally all markets seems to be open for that discussion. When it comes to 2021 and the challenges we have seen. I think the overall first and foremost most important challenge you have to overcome is you have to know your costing of your whole supply chain. If you don't know the costing of your supply chain you can't price your solution. And I think that we have put in an awful lot of discipline and an awful lot of work into. We came into 2021. Felt we were very well equipped for it. But I also hope that everyone on the call here appreciate. This has not been normal market condition. It has not been 5% or 10% deviations or fluctuations. We are now talking about potentially underlying historical inflationary changes that is a 40, 50 years case. So therefore dealing with that, I don't think building clauses is the only thing. It's part of it and then it's a part of a partnership with your customer to also say how do we jointly mitigate where not only price, but also timing of it goes wrong. But it's too easy to say that it's just a new catalogue of clauses to mitigate anything. Because it's probably the most important, not clause, but is actually to take the phone and talk about how we mitigate some of those issues going on. So we are protecting, using what we have always been doing. And we are strongly believing in that that model is absolutely still there despite the challenges we have seen in both 2020 and 2021.
Ben Heelan: Okay, great. Thank you.
Operator: Thank you. The next question comes from Claus Almer from Nordea. Please go ahead. Your line is open.
Claus Almer: Thank you. Yes. Also a few questions from my side. The first question goes to the pipeline. And if you go back let's say, two quarters from now and look at what is still in the pipeline. Could you put a percentage on projects that has been put on hold. Projects that have disappeared from the pipeline giving the trend in the ASP. That would be the first question.
Henrik Andersen: Okay. No. I can't, because you're asking me also a little bit just to therefore comment on what went to other people and how badly they did on setting the right ASP in those. And I generally don't do that, Claus. But if we look at our pipeline. And you can see it. If we're honest. If you have an average over the year that ends at €0.81 [ph] of course, you would have told me, well, you should have started with a higher price in the beginning of the year. But that's not how the world works. So therefore some of the price development simply overtook even the most online and most here and now costing of our solutions. And that of course is sad to see. But on the other hand that's part of the of the game and that's part of the nature that the customer needs to get the financing and the permitting finalized in those markets. As you can see, the longer we get with this ASP, the better we also get. But it is also fair saying pricing is part of it. But it is probably the underlying mitigation. And as we are rightly saying, I'm not impressed and we are saying we're not satisfied that also is pretty clear from the letter to stakeholders in our annual report with the financial result. But we also encouraged and really positive over that we were able to execute 16.6 gigawatt to our partners across the world. So Claus, it's a dual thing on the Asp. But we can see, if you're not in control and discipline we can also see the result of that.
Claus Almer: Sure. So, let me try to ask in another way. Let's assume all competitors will see the same ASP as you do. How is there a given share of the projects that certainly would not be doable. That's actually what I'm trying to figure out.
Henrik Andersen: But you are asking me a very, very hypothetical question. Because you and I know that if that was the world then I don't know how it would -- how the world would look like. Because it doesn't seem to be the case. And you can see some of the challenges coming from your hypothetical. So, this is probably too far from reality then I even can think of an answer to that question if you wouldn't. But I can't. Because it still seems like there's somebody that has something that they want to sell or whatever. I think what is challenging right now is if you are a customer that are stuck with an early offtake PPA, because you did your PPA offtake first and then secured your permitting and probably wanted to source the turbine solution last. Then of course you can stocked. And that's where we are. As good partners, close partners, if you are long-term partner. That's where we will lean towards each other and trying to find solutions to optimize the site, optimize the [indiscernible] and potentially linked it to further business. Because the customer don't want to be sure of solution and electricity supply if he has sold the PPA at lower levels.
Claus Almer: Okay. That makes sort of sense. 
Henrik Andersen: If you ask the third time, you will get the same answer now.
Claus Almer: Its wholly different question, Henrik, hopefully. In the past you have no where, sometime giving some color to the timing of the pipeline short term. So when we look at Q1, Q2, given this ASP trend and all these things you been missing through this conference call. Should we expect things has now starting to normalized from an order intake point of view? Or will you still need more time to get on the same page as the developers?
Henrik Andersen: I think, Claus, I'm -- we are actually super positive, because if and I was asked a little earlier today. We see generally, the most of the energy supplying industry revising their P&Ls and outlooks upwards or even also for 2021 they've come out better. Because the output of all of the solutions are much more valuable today with the energy prices. So that we believe will encourage as well the developers as well as the permanent owners and not least governments to accelerate. Because the only way to find a different balance and a different sort of parity with both energy prices and the solutions is actually to get more capacity done. And we believe that will happen. But I can't give you a quota on it. We can see on the discussions they have never been more intense. They have never been more often clouds. But we can't tell you when they will come to fruition. And one thing you can see from the year. Actually, it's good right now to be super disciplined. Because if you're not then you will have to work through a potentially negative backlog, and that doesn't suit anyone.
Claus Almer: Sure. Make sense. then just have a clarification. Mathias, did you say the thumb down was €13 million or €30 million. Just to be sure.
Mathias Dalsten: 30.
Analyst: Okay. Thanks a lot. That was all for me.
Operator: Thank you. The next question comes from Mark Freshney from Credit Suisse. Please go ahead. Your line is open.
Mark Freshney: Hello. Thank you for taking my question. Henrik, I asked you this question every time in the last few quarters. And may I'll ask it again. Your industry has done amazing things to lower the cost of energy and has made many investments in intangibles, which you should get a return on. And I think many of the issues on low margins, I mean, your margins have been falling for six years now. Presumably, at some point there needs to be a conversation not just about recovering input costs and particularly logistics, but about actually putting the margin on to recover the investments that Vestas and the major peers have made. So prices need to go up by more than just cost, and even more than just a margin on the additional cost, should I say? When do you think the industry might be able to enter those conversations with customers?
Henrik Andersen: Mark, well enough. Now you can you can ask me many times and repeatedly. I won't answer behalf of the industry, because it's absolutely above and outside my control on answering that. On behalf of Vestas, we are doing diligently what we need to do. We have the handles. We are happy with the progress. We can see the progress of using these handles. But as I also answered earlier on this call, there's no way we can do these things in an anticipation or mitigation to something that has changed that rapidly throughout the last six quarters. That's is, of course, something that we work with and feels pretty hard as a team. And when I say a team to see a nearly 30,000 colleagues ending a year with disappointing financials after this incredible hard time in delivering it is of course hard for that. But when we look at it, the discipline pricing is the foundation for getting back to that profitability target. And I think here, Mark, it's fair saying, you can see we are disciplined otherwise we wouldn't have let go of that level of orders to the industry. So in reality here that's a clear sign for us to say, it doesn't have a future if you try to deliver something that is loss making. So that's -- as I said again here, we see we see a big upside for that. We see big upside, also being in there early with partners and you can see from both the co-development and early stage development. That business is incredibly well off the ground. So therefore there are several handles in getting back to the profitability levels you are saying instead of only focusing on potentially a normal order intake in a quarter.
Mark Freshney: And if I may have a follow-up, I mean, some of your -- I mean the USPTC has clearly been delayed. But I mean, some of your customers will be almost in rude health when they'll be looking at new merchant projects with three to four years payback or the very high levels of corporate PPAs that some of the industry specialists have been talking about. I mean, when you and your sales team do DCFs just as the clients can do them, right? So when you speak to CEOs, your customers and I understand a lot has been escalated to CEO level. Is there an understanding by those CEOs when they're looking at high single digit IRRs that you would also need to be looking at high single digit EBIT margins. Is there that basic understanding in the conversations that you have?
Henrik Andersen: I always think it's fairly dangerous if it's the down now to CEOs of fixing orders and pricing, Mark. So the understanding here and I can promise you that, because some of that went on last night is that there is a generally understanding of that de-acceleration and also availability of capacity has a price. And we don't we don't run away from that. When it then comes to individual markets, you mentioned the U.S. here. The U.S. and the PTC whenever Biden and the administration gets, it broken down and potentially approved. Then I think country by country we can see that is happening. But I think it's also fair saying here. If I was a CEO and I have a procurement organization, these guys are also allowed to do their jobs otherwise it wouldn't work. But I think as an industry I think it's more that people have an individual break that says, this is actually the walk away level. And it still seems that there are different levels of walk away in the industry than the one we have. And therefore, we work diligently with that. We do everything we can to leverage our touch points with our partners. But it sounds like we are sort of two against each other. It's actually trying to get more built. And that's why I'm super encouraged to see the progress in both onshore, offshore and development despite it hasn't come through in our financials in Q4.
Mark Freshney: Okay. Thank you.
Operator: Thank you. The next question comes from Martin Wilkie from Citi. Please go ahead. Your line is open.
Martin Wilkie: Yes. Thanks. Good morning. It's Martin from Citi. Just a follow-up on the CapEx question and partly also linked to resolving some of these issues with logistics and so forth. The industry has obviously globalized and also massively outsourced over the last decade or so. As part of this sort of fixing that problem, obviously some of it is through pricing and elsewhere. But is there a view that some of the OEMs like yourselves need to sort of reintegrate some things that have previously been outsourced? And obviously you've done sort of huge things on towers and blades and all these kind of things? Or do we think that sort of model where you're sort of an assembler of some of these key components will still be the sort of prevalent model. So that was my first question. Thanks.
Henrik Andersen: Well, I think that by maturing as an industry we have seen that in comparable industries and the sales in our CTO, which many of you met in the capital markets that he comes from the theoretically trucking and been spending most of his working life in that. They managed to both do modalization and also therefore connecting partners in various degrees closer to you. And I think that's part of the future in this industry. And of course, that works along the same lines that industries that are maturing it gets better into the whole supply chain, but they probably also get at the point in time where they are trust each other enough to work along those lines, it's because the discipline has also been built that the pricing is mature. So I think, Martin, we are in with that scalability. And whatever forecast and estimation you're making for the next decade, you cannot come outside the gray area, which we share with you in the capital markets. And that scalability has to come on behalf of the industry, but it also has to be the upside for partners working closely with us. So the answer is, yes, it has to mature and it has to mature quicker than slower, Martin.
Martin Wilkie: Thanks. And that's helpful. And then, the second question was sort of related to that as well. Is that it looks like the sort of national or local manufacturing provisions could increase in the future and particularly if the proposed PTC goes through in the U.S. there may be a need to assemble more locally than perhaps it has been in the past. Would that have a big impact on how you run the business in North America, if that would be passed in that way? Or does the sort of capacity and supply chain and so forth already exist to manage that sort of local content requirements?
Henrik Andersen: I think, Martin, it's probably been a development over the last 10 years anyway. So, if you look at where we have localized over the last 10 years, you saw, you followed it when we also shared with you how we did in Latin America and went into Brazil, exactly the similar we will be doing. And that's where I will say, you can always say, oh, that's a blame to the tariffs or there's the blame to the incentive locally. But there's also the other part. As the technology grows, it becomes less and less transportable across the world. So that's also why part of the localization has to happen closer or in country or continents where you're putting the solutions up. So I think that one, in the short term it will be a little bit of a discussion point. But in the long term we have factories. we have a lot of colleagues in the U.S. So therefore by agreeing to a built back better and a PTC in the U.S. would only accelerate that development we believe at least in the U.S.
Martin Wilkie: Great. Thank you very much.
Henrik Andersen: If we could then, as operator have the last question.
Operator: Thank you. The last question comes from John Olaisen from ABG. Please go ahead. Your line is open.
John Olaisen: Yes. Good morning gentlemen. I realize it's probably too early to give some indications for 2023. But in order to help me understand the dynamics a little bit, would it be -- if possible to give me some guideline of when do you expect to get visibility for 2023? Or in other words, when do we need to see supply chain issues diminishing or improving prices you start hoping for more normalized markets in 2023?
Henrik Andersen: John, you're absolutely right.
John Olaisen: When do you think you would have?
Henrik Andersen: John, you're absolutely right. We won't give any indication of 2023 yet. I think we're executing on 2022. We are building any forecast of 2023 throughout the year as you would appreciate. And as we have said here, we don't foresee an ease of the current environment throughout 2022. So instead of sitting and hoping on an ease, we get into the actuals and the practical one and execute on that one. And then, when we see something changes, and that still can be for either the better or even for the worse then we will tell you that as well. And as an industry, I will leave the rest to the entire industry to deal with. But from Vestas', we're ready to 2022.
John Olaisen: Well, my question was actually on what how do you hit market 2023 now. When will you get some indication of how 2023 will look like? Do we have to wait? Do you have to wait till Christmas before how or get some better indication of how 2023 will look? How short is -- how short is the lead time on your visibility in general?
Henrik Andersen: I think, John, our lead time is normally several quarters out. And if you look at that we have a backlog of €18.1 billion. So, we are not without the visibility in doing that. But I'm also here saying for that. And we can have that and we can have conversations over it. But from an industry point of view and from a competitive point of view that will not be advisable to start guiding beyond the quarters. And you have basically seen what challenges we had guiding within 2021 with just the challenges we have had and the instability we have had. So, we talk about 2023 when we get to it. Now it's about 2022.
John Olaisen: Thank you and good luck. Thank you.
Henrik Andersen: Thank you so much. With that, thank you so much for today. And we really look forward to see you over the coming days. And with that, I'm sure we will have further conversations around the details of our full year 2021. Thank you, guys.